Operator: Good morning. My name is Cheryl, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q1 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Jim Eglseder, Director of Investor Relations, you may begin your conference.
James P. Eglseder - Manager-Investor Relations: Thanks Cheryl, and good morning. Today, we'll be talking with you about our first quarter 2015 results. This discussion may contain certain forward-looking statements about Fifth Third pertaining to our financial conditions, results of operations, plans and objectives. These statements involve certain risks and uncertainties. There are a number of factors that could cause results to differ materially from historical performance and these statements. We've identified some of these factors in our forward-looking cautionary statement at the end of our earnings release and in other materials, and we encourage you to review them. Fifth Third undertakes no obligation and would not expect to update any such forward-looking statements after the date of this call. I'm joined on the call today by several people: our CEO, Kevin Kabat; and CFO, Tayfun Tuzun; Frank Forrest, Chief Risk Officer; and Treasurer, Jamie Leonard. During the question-and-answer period, please provide your name and that of your firm to the operator. With that, I'll turn the call over to Kevin Kabat. Kevin?
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: Thanks, Jim. Morning, everyone. Today, we reported first quarter net income to common shareholders of $367 million and earnings per diluted share of $0.44. Results included the impact of a $70 million positive valuation on the Vantiv warrant, a $37 million gain on the sale of TDRs and a $17 million charge related to the valuation of our Visa total return swap, which in total benefited earnings by about $0.07. We produced solid returns with a 1.12% return on assets and a 10.3% return on equity. The environment continues to challenge banks. Combination of uneven economic growth, uncertainty around the Fed's monetary policies and the global impact of central bank actions continue to test the banks' business models. These are not new challenges, and we've discussed with you our strategies and tactics that are designed to preserve shareholder value and to grow our earnings with this background in mind. We are very focused on investing in our businesses, our infrastructure and our talent, while we make sure that we have appropriate returns on the capital that we deploy, given the risk exposures that we manage. We're building profitable relationships with our clients and earnings returns on the capital that we dedicate to those relationships. Regardless of the environment, that's what our focus is and that's where we excel. This quarter, we continued to execute our plan and the results are encouraging. Our loan growth showed momentum in the second half of the quarter, with end-of-period C&I loans up $1.3 billion or 3% sequentially. I'm encouraged by the trends that we saw in February and March, and I'm optimistic that our momentum will persist in the coming quarters. Within fee income, mortgage banking performed well, given the lower level of rates during the quarter, which drove higher refinancing activity and better margins. Mortgage originations were up 6%, and gain on sale revenue was up 25% from the fourth quarter. Highlights from the quarter also included record fee income in our investment advisory business of $108 million, up 7% from the last quarter and 6% from the prior year. This business continues to show solid and consistent growth, as we expected to see from the talent development and relationship management strategies we planned for that business several years ago. We also continued to generate strong deposit growth, with average core deposits up 2% sequentially and 7% year-over-year. Expenses were up 1% compared with last quarter and down 3% from the prior year. Current quarter expenses included seasonally higher FICA and unemployment costs but were otherwise well maintained. Even as we continue to invest in our businesses and our infrastructure, we maintain our focus on our expenses. We've discussed our efforts to reduce our risk exposures. And during the quarter, we sold $568 million of residential mortgage TDRs from the pool we moved to held-for-sale last quarter. This transaction allowed us to take advantage of the market's appetite for these types of assets. Virtually every credit metric improved this quarter. Our net charge-off ratio was 41 basis points, the lowest we've seen in eight years, and include commercial net charge-offs of just 29 basis points of loans. Non-performing assets were down 27% from a year ago, and our NPA ratio ended the quarter at 76 basis points. We have put forth a great amount of effort to make progress on our credit results to showing up in significant, sustained improvement over the past several years. I'm very pleased that the Federal Reserve did not object to our 2015 CCAR plan. Capital management has been a strong and consistent part of our story, and our 2015 CCAR plan demonstrates the strength of our capital levels and our ability to generate organic capital, giving us the capacity to support shareholder returns. As we've discussed the past few quarters, we continue to work to reposition Fifth Third. We're maintaining our prudent approach to lending, with a focus on appropriate risk-adjusted returns. We've talked about the investments we are marking to strengthen our risk and compliance infrastructure, and we expect to ultimately benefit from them. We continue to make strategic decisions to achieve the right business mix, one which produces less volatile and more sustainable earnings growth. And ultimately, we are managing the company for the long term. And we're committed to maintaining our discipline, even in challenging environments. With that, I'll turn it over to Tayfun to discuss our first quarter operating results and our current outlook.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thanks, Kevin. Good morning, and thank you for joining us. I'll start with the financial summary on page three of the presentation. We reported net income to common shareholders of $367 million or $0.44 per diluted share. There were several items that affected earnings in the quarter, as Kevin mentioned. The largest was the Vantiv warrant valuation mark. That was a positive $70 million this quarter. As you know, in the fourth quarter, we transferred approximately $720 million of residential mortgage TDRs to held-for-sale. In the first quarter of 2015, we sold the majority of those loans for a pre-tax gain of $37 million. A partial offset was the charge related to the Visa total return swap. That was $17 million. The net impact of these three items was a benefit of $0.07 per share. With that, let's move to the average balance sheet and page four of the presentation. In the first quarter, average investment securities increased by $733 million or 3% sequentially, reflecting purchases of additional securities during the quarter. On an end-of-period basis, we added $4 billion of securities. Shifting to loans, we continue to be prudent on pricing and terms. Competition continues to be fierce, as we have stated before, but our loan activity picked up, especially during the second half of the quarter. And our C&I balances were up 3% on an end-of-period basis. It is a good sign that we are seeing growth within our risk appetite and credit and return profile targets. Our average portfolio balances decreased $533 million from the fourth quarter, driven by declines in residential mortgage, due to the transfer of TDRs to held-for-sale last quarter. This reduced average balances by approximately $694 million in the quarter. Commercial mortgage balances were down 3%, as we continued to see refinancing activity out of our legacy book, which offset growth in commercial construction. Competition from term investors, such as life insurance companies, continues to be difficult to match. We saw very strong deposit growth throughout 2014 and, as we expected, that continued in the first quarter. Average core deposits increased $1.8 billion from the fourth quarter, driven by growth in interest checking, money market and demand deposit accounts. Moving to NII on page five of the presentation. In line with our expectations and guidance in January, taxable equivalent net interest income decreased $36 million sequentially to $852 million, primarily driven by a $21 million negative impact of the previously announced changes to our deposit advance product that were effective January 1. NII was also impacted by $13 million due to fewer days in the first quarter. The net interest margin was 286 basis points, down 10 basis points from the fourth quarter, with a seven basis point decline from the changes to our deposit advance products, three basis points of compression related to loan re-pricing and a two basis points decline related to our elevated cash balances. These were partially offset by a three basis point benefit from day count. Shifting to fees on page six of the presentation. First quarter non-interest income was $660 million compared with $653 million in the fourth quarter. Results included the $70 million positive mark on the Vantiv warrant and the $17 million charge on the Visa total return swap that I mentioned earlier. These impacts were positive $56 million and negative $19 million respectively in the fourth quarter. The first quarter also included a $37 million gain on the sale of TDRs. Excluding these items in both quarters, fee income of $570 million decreased $46 million or 7% sequentially, driven by the $23 million TRA payment that we recognized from Vantiv in the fourth quarter and a decrease in corporate banking results, partially offset by an increase in mortgage banking net revenue. Corporate banking fees decreased $28 million sequentially and $12 million from last year. The sequential and year-over-year comparisons were affected by a decline in syndication fees of $21 million and $11 million respectively, driven by decreased activity in the market during the quarter. Card and processing revenue decreased 6% compared to a seasonally strong fourth quarter and was up 5% from the first quarter of 2014, as we continue to benefit from greater card utilization and higher consumer purchase volume. Mortgage banking net revenue was up 40% sequentially due to higher gain on sale margins and an increase in originations to $1.8 billion compared with $1.7 billion in the fourth quarter. Gain on sale margins were up 48 basis points to 327 basis points. Net servicing asset valuation adjustments, which include amortization and valuation adjustments, were negative $17 million this quarter versus negative $34 million last quarter. Deposit service charges declined 5% from the fourth quarter, reflecting first quarter seasonality, and increased 2% relative to the first quarter of 2014. The sequential decline was driven by a 9% decrease on the consumer side due to seasonally lower overdraft occurrences during the quarter. Total investment advisory revenue increased to a record high of $108 million, an increase of 7% sequentially, due to seasonally higher tax-related private client services revenue in the first quarter and strong securities and brokerage revenue. We've been successful in growing assets under management, which were up 5% from 2014, and we continue to focus on shifting fee structures to an asset-based recurring model away from transactional pricing. We show non-interest expense on page seven of the presentation. Expenses came in at $923 million this quarter compared with $918 million in the fourth quarter and included a seasonal increase in FICA and unemployment tax expense, recorded in employee benefits, partially offset by lower credit-related costs. Turning to credit results on page eight. Total net charge-offs of $91 million or 41 basis points as a percentage of average loans decreased $100 million sequentially. Excluding the impact of the TDR-related charge-offs in the fourth quarter, net charge-offs were down $13 million or 13% sequentially, reflecting improvement in commercial loan charge-offs. Non-performing assets excluding loans held for sale were $691 million at quarter end and down $53 million from the fourth quarter, bringing the NPL ratio to 57 basis points and NPA ratio to 76 basis points, its lowest level in seven years. Commercial NPAs decreased $40 million sequentially, primarily due to a $30 million decline in C&I and a $9 million decline in commercial mortgage. Consumer NPAs decreased $13 million from the fourth quarter driven by a decline in residential mortgage NPAs. As you recall, last quarter, we moved $720 million of residential mortgage TDRs to held-for-sale with the intent to sell in the first quarter. We successfully executed the sale, and that generated gains of about $37 million in the quarter. So all in, the net mark we took on the loans sold was 8%, and we feel very good about that result. Relative to our energy portfolio, the quality of the firms we have relationships with remains very good. The portfolio is $1.8 billion and is down $200 million since the end of the fourth quarter. Our team, which includes a petroleum engineer, has been in the business for more than 20 years. So they've seen a cycle or two. We continue to be comfortable with our portfolio, as the vast majority are investment-grade credits, with appropriate collateral, liquidity, cash flow and reserve coverage. We did see some potential weaknesses in the portfolio during the quarter, as you would expect in a declining oil price environment, and have downgraded credits where appropriate. And we would expect to remain proactive, given the current environment. Wrapping up on credit. The allowance for loan and lease losses declined $22 million compared to a $28 million decline last quarter, excluding the impact of the TDR-related actions, driven by continued credit improvements. Provision as a percentage of net charge-offs increased to 76% from 73% last quarter, excluding the impact of TDR-related actions. Reserve coverage remained solid at 1.42% of loans and leases and 247% of NPLs. We are pleased with the level of our credit metrics as we continue into 2015. Looking at capital on slide nine. Capital levels continue to be strong and well above regulatory requirements. The common equity Tier 1 ratio was 9.6%. Starting on January 1, we are now on a Basel III basis, and our capital ratios for the current quarter are subject to Basel III transition provisions. At the end of the fourth quarter, the average diluted share count was down another 1% sequentially. During the quarter, we announced common stock repurchases of $180 million. That ASR settlement is expected to occur on or before April 23 and reduce the first quarter share count by 8.5 million shares. Relative to CCAR, the Federal Reserve's 2015 review is complete, and we received a non-objection to our capital plan. We believe our results demonstrate the relative strength of both of our capital position and our internal capital generation capacity. Turning to the outlook and a few comments on the second quarter. In our outlook, our goal is and has been to maintain a realistic perspective on the economy and the overall market conditions. I think you are seeing some of the items that we discussed in January call emerge in peer group calls this quarter. Beginning with NII. There is no change to our full-year NII expectations, even though our current outlook includes no interest rate hike until the fourth quarter compared with two expected moves back in early January. We have and will continue to actively manage our balance sheet to adopt a changing macroeconomic and Fed policy expectations. As a reminder, excluding the impact of the $100 million reduction in deposit advance-related decline, we expect our NII to grow year-over-year. For the second quarter, we expect NII to be higher than the first, based on average earning asset growth and day count. For NIM, we currently expect relative stability for the remainder of the year from first quarter levels. We do expect that NIM will be slightly lower during the second quarter than the first, due to continued loan re-pricing and the impact of day count. We expect higher fee income in the second quarter from a seasonally low first quarter, driven by card and processing revenue, deposit fees and corporate banking fees. Mortgage banking revenue continues to be a function of the rate environment. We had a good first quarter and experienced the wider gain on sale margin, but we are not forecasting second quarter margins to remain at those levels. When you also include the continued amortization of our servicing portfolio, due to our exit from the brokered origination channel, we currently expect mortgage banking net revenue to be below the first quarter but approximately in line with last year's second quarter. Along those lines, our guidance on operating leverage for the year is not changing either. We will continue to invest in our businesses and infrastructure. Those investments will increase our employee expenses as well as our technology spend. Expenses will increase during the next two quarters, relative to the first quarter, but we will see more stability, maybe a slight drop towards the end of the year. Again, the guidance we provided in January with respect to our efficiency ratio and revenue growth remains roughly intact. We expect our quarterly adjusted efficiency ratio to gradually decline over the next two quarters, with a more pronounced decline toward the end of the year. Turning to credit. We still expect ALLL releases to be significantly below last year's levels, and loan growth will result in higher levels of provisioning. We are very encouraged by the overall good quality of new loans that we are putting on our balance sheet, so our fundamental credit performance should continue to improve. We also would like to remind you that the revenue expectations that we shared with you today do not include potential but currently unforecasted items such as Vantiv warrant marks or gains on share sales. With that, let's open the line for questions. Cheryl?
Operator: Thank you. Our first question comes from the line of Geoffrey Elliott from Autonomous Research. Your line is open.
Geoffrey Elliott - Autonomous Research LLP: Autonomous Research. On the net interest margin outlook, I wondered if you could give us a sense of, first, what that would like if we don't have any rate rises this year. And then second, you still, assuming we do have the rate rises, sticking to the five to seven basis points decline, excluding deposits advance, given that we had three basis points of decline in the first quarter?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: So I'll make a brief comment and then I'll turn it over to Jamie. As I said, at this point, we only have one rate increase assumption, which is at the end of the year in the fourth quarter. So relative to our January call, that is a change. In January, we had two raises, but now we're down to one and which is now at the end of the year. And in general, we expect our NIM to be stable from the first quarter levels, and I'll let Jamie go through the detail on that.
James C. Leonard - Treasurer & Senior Vice President: Yeah. And I think if you're more focused on near-term NIM guidance, as Tayfun said, stable NIM, but for day count and the continued impact of loan re-pricing in the second quarter driving it down a couple of basis points. And obviously, there'll be other moving parts that should largely offset one another. One would be our continued holding elevated cash levels, but those cash levels should be down in the second quarter below the first quarter levels on average basis. And we continue to obviously do well growing our deposit book, and that's created some opportunity to continue to execute on liability management opportunities. And you saw some of that come through in the first quarter numbers with our core deposit cost down two basis points, and going forward that continues to be an opportunity for us. But as Tayfun said, net-net, down a little bit in the second quarter and stable in the back half of the year.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. And relative to your question on the impact of EAX, just realize that the first quarter NIM reset for that. So that's why going forward, you're not going to feel that impact for the rest of the year.
Geoffrey Elliott - Autonomous Research LLP: Thank you.
Operator: Thank you. And our next question will come from the line of Scott Siefers from Sandler O'Neill. Your line is open.
Scott Siefers - Sandler O'Neill & Partners LP: Good morning, guys.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Good morning.
Scott Siefers - Sandler O'Neill & Partners LP: I was hoping you could speak in a bit more detail on the loan growth outlook. Obviously, this quarter's numbers were a little noisy, given the TDR move from last quarter. And then you had made the kind of more optimistic comments about February and March. So, one, if you can just provide some additional commentary on overall trends; and then, two, where you're seeing the most and least strength. I think, Tayfun, you had mentioned the commercial categories as looking good end of period. So just would be curious to hear your color there.
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: Yeah, Scott. I'll start it and I'll throw it to Tayfun. We have been encouraged, particularly as the quarter went on in terms of the type of activity that we're seeing. It's broad based, mostly in our specialty areas, but we feel good about where we're seeing it as broadly as it was. That's why we're encouraged as we look out into the rest of the year. So fairly positive from our perspective. Tayfun, you want to add some color?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. We ended the quarter at encouraging levels, and you know that I don't tend to be that encouraging if I don't see the numbers. But the activity is at a healthy level. We see it on a widespread basis. Mid-corp continues to be doing well. Our middle market is picking up, and we're seeing good activity in verticals, as Kevin mentioned. The one weakness that we are still seeing is in commercial mortgage, not construction. Construction still is at healthy levels. Commercial mortgage is tough because we're seeing fairly stiff competition for assets. We're seeing loosening credit structure and very aggressive pricing environment. So along those lines, we're choosing not to necessarily participate there. But what's encouraging is that we are seeing the right type of clients with good support across the board from different revenue line items, so it's been a good quarter for us.
Scott Siefers - Sandler O'Neill & Partners LP: Okay. That's sound great. I appreciate the color.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah.
Operator: Thank you. And our next question comes from the line of Ken Zerbe, Morgan Stanley. Your line is open.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Good morning, Ken.
Ken Zerbe - Morgan Stanley & Co. LLC: Thanks. Good morning, guys. First question is just in terms of the energy portfolio. Do you quantify or can you quantify the reserve build associated with that this quarter? And where do you stand in reassessing the borrowing base of your clients?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: We don't. We don't typically provide detailed guidance on reserves for specific portions. And in terms of general commentary about the energy portfolio, Frank?
Frank Forrest - Executive VP, Chief Risk & Credit Officer: Yeah. Ken, when you look at our diversified portfolio in the energy sector, upstream represents 50% of our energy-related exposure. Two-thirds of upstream commitments are under what I would determine as traditional secured reserve base structures. 70% went into value. We do have two borrowing base redeterminations annually. The balance of that upstream portfolio is predominantly investment grade. So we will and expect to see some stress on the loan to value of that book as prices stay down. But we still have adequate coverage today.
Ken Zerbe - Morgan Stanley & Co. LLC: Okay. Great. Thanks. And then just another quick question. If you look at your overall loan growth, so ex out the move to held-for-sale, loan growth is a little bit weaker than peers, broadly speaking. Any reason why that might be the case?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: When we look at peer and loan growth, we're actually seeing better-than-peer performance. So again, this is about momentum. This is about the trends that we are seeing in the quarter. As we discussed in January, we clearly entered the year at a weaker point, so January balances were impacted by that. So I wouldn't necessarily rely on average balance comparisons between Q4 and Q1 but look more into trends that are apparent when you look at end-of-period numbers.
Frank Forrest - Executive VP, Chief Risk & Credit Officer: One other comment I would make. I think we're being prudent in our hold positions. We are seeing some fairly aggressive hold positions by peers, which is one of the things I think you will see as far as end-to-end point on loan growth. But overall, as we've said, we are seeing very good flow. We are attracting I think very good clients. We're very focused on client selection, but we are also being prudent in how much we're willing to hold on any particular exposure to ensure that we're diversifying the risk in our portfolio.
Ken Zerbe - Morgan Stanley & Co. LLC: Great. Thank you.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: And Ken, I just want to go back to the energy piece and make one comment, which I think frequently gets missed. Despite the fact that we've been in the energy business for two, three years, you have to realize that we brought in a complete team in 2012. And that team has been underwriting loans for 20 years and it's a compact team. So I just want to make sure that we reflect the relative experience of our team with respect to our energy business.
Ken Zerbe - Morgan Stanley & Co. LLC: Great. That helps. Thank you.
Operator: Thank you. And our next question comes from the line of Paul Miller from FBR Capital. Your line is open.
Paul J. Miller - FBR Capital Markets & Co.: Thank you very much. On the mortgage banking side, can you talk a little bit about the mix between refis – I didn't see it – and purchase and how you're seeing the purchase market shaping up?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: It's a bit early. It's still April. And we also want to be cautious in terms of the purchase market given our experience last year. In general, the market was expecting better activity going into the season, and then we did not see that overall as a sector. So we're a bit cautious in terms of projecting balances on the purchase side. In general, we would expect an uptick, but we have to realize that the low rate environment is providing momentum to the refi activity. And that's what we saw in Q1. In April, we'll probably see some of that still happening on the refi side, which could sort of tilt the balance a little bit more in favor of refi. But going into May and June, we would expect the purchase activity to pick up a little bit. So I think, Paul, it's a bit early. We'll probably be able to give you a little bit better update in July when we sort of observe the activity. But right now, we're at about a 40% purchase volume as of...
Paul J. Miller - FBR Capital Markets & Co.: 40%. And then real quick, I know it's a small number but it's bucking the trend here a little bit. You wrote up your MSR. Can you add some color behind that?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: We can. I'll turn it over to Jamie with details. But you have to realize that we've done actually – if you go back two, three years, we've had very consistent performance on the MSR side because we truly manage our mortgage exposures in combination with what we're doing on the production side as well as what we're doing with the servicing side. Jamie?
James C. Leonard - Treasurer & Senior Vice President: Yeah. And the one maybe anomaly this quarter was we did take advantage of the opportunity, when we saw the sell-off in rates in mid-February that we took our hedge coverage ratio from the low 80% levels and then locked in those gains. And so we're hedged almost at 100% at the end of the quarter. And that really was where we captured some extra value during the quarter.
Paul J. Miller - FBR Capital Markets & Co.: Okay. So it's mainly just some small hedging gains; not really writing up the MSR.
James C. Leonard - Treasurer & Senior Vice President: Right.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Correct.
Paul J. Miller - FBR Capital Markets & Co.: Okay. Hey, guys, thank you very much.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thank you, Paul.
Operator: Thank you. Our next question comes from the line of Ken Usdin from Jefferies. Your line is open.
Kenneth Michael Usdin - Jefferies LLC: Thanks. Good morning.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Good morning, Ken.
Kenneth Michael Usdin - Jefferies LLC: Tayfun, I was wondering if you could just elaborate on your comments about the expense trajectory across the year. Can you walk through where you are in that compliance spending increase that you had alluded to last quarter? And then can you also help us understand why the trajectory would go up for the next few and then drop off in the fourth? Is there something happening underneath the surface that you're expecting?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. Ken, thanks for the question. The trajectory really has some seasonal factors, but let me answer the first part of your question. I think we are going to see throughout the year increases in our infrastructure investments in risk management and compliance. You're seeing very similar trends with our peer group banks. We're moving to this new methodology, and we're making sure that our infrastructure supports the new risk management and compliance structure. So you will see increases throughout the year. With respect to the rest of the expense trends, I think there is some seasonality in our marketing expense that you will see in Q2 and Q3. Clearly, we are making sure that we support revenue growth, and marketing spend is part of that. Typically, toward the end of the year, that spend goes down. From Q1 to Q2, you will see some increase in incentive compensation to increase in line with higher levels of business activity. Some of it in Q2 is related to higher, long-term incentive expense, which really is related to retirement-eligible employees. And we are still reducing head count in some areas. But again, redeployment of that head count into risk management infrastructure, we'll probably see higher head count going into second, third and fourth quarters. And technology investments are also going up. As we have said, regardless of the environment, we will continue to invest in our businesses. That's across the board. That's in our retail business, that's in our commercial business and that line item will see increases. But in general, we do believe that we are still maintaining focus on managing expenses in other areas. And ultimately, we will get to a level where some of these new processes and tasks will be replaced with technology. When we get to that level, you will see better efficiencies, even from sort of the existing risk management and compliance infrastructure.
Kenneth Michael Usdin - Jefferies LLC: Okay. Great. And then to wrap that into your operating leverage comment, then, can you just remind us again your determination to deliver positive operating leverage on the full year? That's a year-over-year basis. And can you just remind us, is it against like the all the adjusted results like on page 11 of the supplement? How should we just be making sure that we're looking like-on-like?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. Just one correction. Despite the fact that I think Q1 will be the high water mark for the efficiency ratio, I do want to remind you that our guidance is actually not – we're not guiding to a positive operating leverage. We said in January and we reiterated again today that we would expect revenues to increase. But given the $100 million decrease in EAX, our deposit advance-related revenues, we will see negative operating leverage this year. So I just wanted to...
Kenneth Michael Usdin - Jefferies LLC: Okay. Right. No change to that then. Okay. Understood. Thank you.
Operator: Thank you. Our next question comes from Erika Najarian, Bank of America. Your line is open.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Good morning, Erika.
Erika Penala Najarian - Bank of America Merrill Lynch: Good morning. I just wanted to ask a clarification on the NII outlook. You mentioned that you took out one rate increase but didn't change your NII guidance from January. And I'm wondering if that was made up for in terms of a more robust outlook for loan growth for the balance of the year? Or is it coming from balance sheet growth from continued strong deposit inflows?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: It's a combination of all. And I think what we try to do is when we manage our NII, we try to manage it depending upon the market conditions that are current and that we expect to happen. And with that, we will make tactical changes in the way we manage our balance sheet. Jamie?
James C. Leonard - Treasurer & Senior Vice President: Yeah. Yeah. Just to reiterate what Tayfun said, I think it's both. It's the earning asset side, you saw the investment portfolio growth in the quarter. We're pretty opportunistic, able to pull forward some of our anticipated growth there. And so the portfolio's 19% of our total assets, so on average or a little bit underweighted to peers. But again, we are opportunistic. And then the strong deposit growth with household acquisition, new customer acquisition, really has given us some flexibility to go after the deposit pricing. And you're starting to see that show up in the numbers. So I think we've been responsive to the environment, and we're pretty pleased with the results.
Erika Penala Najarian - Bank of America Merrill Lynch: Got it. And my second question is on corporate banking. I appreciate the seasonality in the first quarter and the guidance for higher level in second quarter. But the first quarter number was down 11% year-over-year. And I'm wondering how we should think about the full-year progression in corporate banking and sort of the factors that are underlying that progression versus what you saw in 2014.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. I think our full-year expectations in corporate banking, we're still looking to growing corporate banking fee revenues. Clearly, first quarter was challenging because from a loan syndication perspective, the level of activity was significantly below what we expected. Now having said that, we're not necessarily saying that we're going to go back to the level of activity that we experienced last year. We are expecting some pickup, and you should see some revenue pickup there related to an uptick from Q1 levels. And we are growing in other areas. We clearly have a very healthy derivative business in foreign exchange and interest rates, and we're seeing some activity there. And I think in interest rates, for example, I think we hit the low levels and I think last year. This year, we should perform better in business lending fees. We should see an uptick there this year. That will support growth year-over-year. So in general, despite weakness in the syndication activity, other lines should pick up the flag and we should see growth on a year-over-year basis.
Erika Penala Najarian - Bank of America Merrill Lynch: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Matt Burnell, Wells Fargo Security (sic) [Securities]. Your line is open.
Matthew Hart Burnell - Wells Fargo Securities LLC: Good morning. Thanks for taking my questions. Jamie, maybe a question for you. You mentioned the pull forward of some of your securities activity that you're planning on for all of 2015 into the first quarter. Also noted that the duration of the securities portfolio was down to about 4.3 years from five years at the end of last year. Can you give us a little bit of color as to sort of where you stand in terms of what you've got to do for the remainder of the year in terms of the securities portfolio and what growth you anticipate from here in the portfolio?
James C. Leonard - Treasurer & Senior Vice President: Sure. And, yes, the 4.3 years, also, yield was up in the first quarter. And so we're pretty pleased with the outcomes there. We do expect the yield to be down a little bit in the second quarter due to day count as the rest of the purchases, the full quarter impact there. But what we're seeing on the investment opportunity side really is dictated to a large extent by the LCR. So finishing the first quarter at 108% on the LCR with about $2.5 billion or so of excess cash to where our targeted cash levels are really means that as we look ahead and how much cash we need to deploy and still stay above 100% LCR, which is our goal, 10% above the 90% regulatory minimums means that we'll need to put $1 billion to $2 billion to work to maintain an LCR above those levels. So that's how we're thinking of the rest of the year is really use the portfolio to ensure that LCR's above 100% and then just attack opportunities as they're presented by the market.
Matthew Hart Burnell - Wells Fargo Securities LLC: Thanks, Jamie. And Kevin, maybe a question for you. I appreciate this is a sensitive topic, but I'm just curious if you have any comments about the potential for the SIFI designation to get lifted from $50 billion. Seems that raising that to $100 billion wouldn't necessarily be a material benefit for you. But if it's raised materially above that, what are the benefits to Fifth Third from such change?
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: Yeah, Matt. What I would say is that I think a lot of dialogue is going on today, and I think there's a lot of folks really kind of reflecting on some of the rules and what gets used as kind of the metric for evaluating. If you use strictly a straight-line asset number, yeah, then some people will fall above and some people will fall below. If you use that in combination with some of the things that have been talked about relative to complexity in the industry, it potentially changes the field quite substantially. How that will come out, I can't predict and I wouldn't even know how to handicap that from our perspective. Clearly, though, if the line moves, I mean I think the two most obvious impacts to us would be some of the work necessarily involved in the CCAR process could potentially change. Not that we would walk away from the benefits of the tools that we now incorporate into our capital planning process, but we could see some expense savings there in terms of being more productive and less voluminous in terms of our justifications for our CCAR levels. And then the second area would be in the living will kind of area. Those would be the two most obvious impacts to folks that fall above or below that line. Changing that again changes the amount of work, the amount of time and the amount of effort that we as an organization would have to put into that. So I think that kind of frames for you what's at stake here.
Matthew Hart Burnell - Wells Fargo Securities LLC: Okay. Thanks for the color.
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: Yeah.
Operator: Thank you. And just a quick reminder. Please limit your questions to one primary question and one follow-up question. Our next questioner is from the line of Bill Carcache, Nomura Securities. Your line is open.
Bill Carcache - Nomura Securities International, Inc.: Thanks. Good morning. Could you talk about how we should be thinking about the timing and magnitude of Vantiv share sales throughout the rest of 2015, particularly given the nice rally that the stock has had and the fact that it's now near all-time highs post-IPO? And I guess in general, is it reasonable to expect that those share sales could be completed by the end of this year, or are they more likely to extend into next year?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: We typically don't give guidance in terms of the timing and the size of our disposition. But in general, we have stated before that we will not be a long-term owner of the company. We are very pleased with the company's operations and the value that we were able to build and achieve. And our goal is to make the optimal decision for our shareholders. And we had one sale last year and we'll see how this year goes. But we are monitoring, clearly, all of the same metrics that you are there.
Bill Carcache - Nomura Securities International, Inc.: Okay. In the past, you guys have talked about some of the initiatives that had been in place to replace what would eventually be that last Vantiv income stream. Maybe could you give us an update on those initiatives? And then perhaps also speak to the possibility of hanging onto Vantiv a bit longer, given the nice, I guess, equity method income contribution that you get from that business, the potential to which there might be some incentive in hanging on to it, perhaps a bit longer.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Sure. Ultimately, I think if we were to liquidate our shares and convert it to share buybacks, that's an accretive outcome. So with respect to the revenue piece, and so economically, our shareholders will be compensated for a potential exit from the company, regardless of the decrease in the revenues. Now as you know and as we have discussed with you, we have combined our payments businesses, the consumer and commercial side under one roof. And we are making investments and introducing new products to the market to be able to support revenue lines that we get from our commercial and consumer clients. And in general, our goal is clearly, just if you only focus on the revenue line to continually grow other fee-generating businesses and grow the sort of earnings per share contribution there. So there are clearly different sensitivities that we are mindful of and we are looking at as we build our strategic decisions around Vantiv.
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: And the only thing I would add, Bill, is, you've heard us talk about the development and the organization around our payments and commerce space. We're quite pleased with the continued progress and focus there. We think that's a good long-term strategy for us as we're building products and orientations around selling into value in a space that we have some real significant expertise. So again, we're encouraged. We think we're on the right track from that standpoint. And over the long-term will benefit shareholders, so...
Bill Carcache - Nomura Securities International, Inc.: Great. Thanks, guys. That's very helpful.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. Our next question comes from the line of Matthew O'Connor from Deutsche Bank. Your line is open.
Matthew Derek O'Connor - Deutsche Bank Securities, Inc.: Good morning.
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: Good morning.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Good morning, Matt.
Matthew Derek O'Connor - Deutsche Bank Securities, Inc.: Can you guys talk about how you're feeling on the indirect auto lending business? I know you had pulled back a little bit as things had gotten very competitive and the balances are kind of flat to down. Any change in the competitive landscape there or how you're thinking about it?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Not really. I think our views have been fairly stable in that business over the last two, three years. We're still very mindful about returns. We're focusing on maintaining the credit profile that is commensurate with the returns. Jamie, any commentary about what you're seeing?
James C. Leonard - Treasurer & Senior Vice President: Yeah. The yield, Matt, in the first quarter on new production continued pretty much on pace with what we saw in the fourth quarter at a 304. The FICAs were again 750, a little better. The credit profile continues to be great. It's 52% used, 48% new for the quarter, 69-month average term with obviously durations much shorter than that. And the LTVs, 90%, 91%. So it's...
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Stability is the name of the game there, and we clearly are very focused on what the market is doing. But in general, there is really no change in the way we approach that business.
Matthew Derek O'Connor - Deutsche Bank Securities, Inc.: And where do you think you differ the most versus the overall industry? I mean obviously, the industry is growing. Some peers are growing outsize, but which, whether it's the yield or the term or FICO, like where do you think you differ versus the overall market?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: I think it's a combination of all. Our advance rates tend to be lower compared to what we're seeing from others. We are not competing on the seven-year products. The term is an important piece for us. And clearly the – just FICO scores in general, we are not moving down the credit profile. And some of our competitors have subprime businesses and we don't. So they're experiencing better growth in those segments, which fits their credit appetite and it doesn't ours.
Matthew Derek O'Connor - Deutsche Bank Securities, Inc.: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Mike Mayo, CLSA. Your line is open.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Mike.
Mike L. Mayo - CLSA Americas LLC: Hi. Two short follow-up questions and my main question. What is the carrying value of Vantiv versus the market value?
James C. Leonard - Treasurer & Senior Vice President: We don't disclose the carrying value yet, Mike, because they haven't released their earnings yet. But you're in that unrealized gain position between $1.2 billion and $1.4 billion.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: We own 22.8% of the company, and we carry that at about a $400 million number right now. So that's what our numbers show. And then you have obviously the warrants, which are mark to market, and then you have the TRA that is not showing up on our books.
Mike L. Mayo - CLSA Americas LLC: Okay. Is the full drop from the deposit advance product in the first quarter? I guess it hurt $21 million this quarter, and you said it will eventually hurt by $25 million. So do we have $4 million more to go per quarter?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: No. I think the commentary that we made last January was relative to the full year in 2014. And as we have not expanded the marketing of that product to new clients, the usage on a quarter-to-quarter comparison will continue to drop and, therefore, will be coming off of that $25 million number. So for now, the $21 million number is fully baked in.
Mike L. Mayo - CLSA Americas LLC: Right. No, I just mean, in other words, the fourth quarter to first quarter drop, it was $21 million.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Correct.
Mike L. Mayo - CLSA Americas LLC: So we shouldn't expect any more big quarter-to-quarter drops?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: You should not.
Mike L. Mayo - CLSA Americas LLC: It's done. And that's why you feel better about efficiency getting better this year. It's is one of the factors?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: That's correct. Yeah.
Mike L. Mayo - CLSA Americas LLC: Okay. And now my...
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: If you think about it, Mike, from the time that we talked about it last year when you're not selling the product and you're not opening new accounts, you do have account closings during the course of the year. And that probably accounts for most of the attrition and the difference of those two numbers.
Mike L. Mayo - CLSA Americas LLC: Okay. And now my main question for Kevin. I guess the question is, will the real Kevin Kabat please stand up? I mean I'm looking at your CEO letter here, and it seems pretty cautious. You're talking about competition, technology, regulation, the new age in banking and all these headwinds. And you started off today's call talking about record fees and investment advisory accelerating commercial loan growth, deposit growth. And so I can't tell if you're cautious or optimistic between the CEO letter and the way you started off today's call. What message are you trying to convey?
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: The way that I would kind of put that, Mike, just so that you had a perspective is, look, a lot of what you talked about in terms of the annual letter is a description of the environment that we're in. And the fact of the matter is that the environment's challenging for banks for a lot of those reasons that I talked about. That notwithstanding, there are things that we've been able to continue to do strategically, competitively that continues to differentiate Fifth Third going forward. So if you're getting confused of the way that we attack in an environment that's challenging, that would be the clarity I would try to draw you to.
Mike L. Mayo - CLSA Americas LLC: All right. Thanks for that color.
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: Yeah.
Operator: Thank you. Our next question comes from the line of John Pancari, Evercore ISI. Your line is open.
John Pancari - Evercore Group LLC: Good morning.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Good morning.
John Pancari - Evercore Group LLC: Just back to loan growth, I wanted to ask a little bit about outlook. I appreciate the color you gave around the C&I trends and also what you're seeing on commercial real estate being somewhat sluggish. In terms of your overall outlook for loan growth, is it likely here that it stays in the 4% range of kind of where it's been or where it is now? Or could we see strengthening in that growth rate as we move through 2015 consistent with your recent bullishness?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. I think what we said in January was that you should expect the banking sector to grow at GDP plus. We clearly have some investments in our retail businesses and in other areas that should help us to get over that GDP number. And our bullishness is based on the trends that we are seeing. Those trends, if they continue, we should see outstripping that 3% number for the year. And we will update you as we go along. But for now, we are seeing good activity, and we are optimistic that, that will continue.
John Pancari - Evercore Group LLC: Okay. And then separately, on the expense side, just wanted to get your thoughts on the efficiency ratio from a long-term perspective with and without higher rates. Again, thanks for the color you gave on the near-term likelihood around operating leverage or not. But just how do you think about the trend and the efficiency ratio not just through 2015 but into 2016 with or without rates?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. I think clearly, this year, the interruption in our success in driving our efficiency ratio down was interrupted because of EAX change. And that $100 million is a big number to overcome. And you will see throughout 2015 growth in revenues, which is going to help to drive down the efficiency ratio. Our longer-term outlook is, the sort of mid-50s type of target was always based on a more normalized rate environment. And some of the statistics that we publish with respect to where our rate sensitivity is would support that outlook. But regardless, I think we will be able to grow our revenues to gain efficiencies. And that clearly does not even include the expense management focus that we have in place. As I said, our risk management and compliance expenses are going up this year. But eventually – and it always happens – that we take a look at the processes and find technology solutions to achieve the same results. And all those combined should support further improvement in our efficiency ratio. And if the rate environment helps us a little bit more, we can achieve that faster.
John Pancari - Evercore Group LLC: Okay. Thank you.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. Our next question comes from the line of Sameer Gokhale, Janney Montgomery Scott. (sic) [Scott]. Your line is open.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Hi, Sameer.
Sameer Shripad Gokhale - Janney Montgomery Scott LLC: Hi. Good morning. Thank you. Just a few questions. I wanted to follow up on the question about deposit advance, the product and your guidance. And specifically, what I wanted to ask you was whether your outlook incorporates like a recent proposal from the CFPB, which seems to have some more onerous requirements for these type of short-term product. And also wanted to get a sense for whether this somehow affects any alternative products you might be offering to that customer base. And again, whether you've baked that all into your guidance because it sounds like you have. You don't really expect much of an incremental impact beyond the Q1 impact, but I just want to clarify that?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. I mean we've seen, obviously, the same language that you've seen from the regulators, and we are evaluating currently our product offering accordingly. We're not making an adjustment in terms of our outlook and our expectations. We will be further analyzing the guidance, further analyzing our business and the interests of our clients. And if there is a change in that, we will update you. But for now, I don't have really any updates on that for you.
Sameer Shripad Gokhale - Janney Montgomery Scott LLC: Okay. And then the other question I had was in terms of your commercial loans and commercial loan growth, I think you gave some commentary saying that the growth was somewhat broad based, at least that's what we're hearing from other banks as well. The question I had was, it looks like your utilization rates were flat sequentially. And I was curious what happened to loan commitments, if those increased or stayed flat. And I'm trying to just again kind of think about that in the context of broad-based loan growth and like maybe a pickup in commercial loans because certainly, it doesn't seem like utilization rates have increased. That would be perhaps more of an indication that there is broad-based demand. So how should we think about that?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Utilization rates have stayed flat quarter-over-quarter, and they have been flat since the middle of next year. I think there was one uptick last year from Q1 to Q2, maybe. Our commitments are up a little bit. And it's difficult to necessarily interpret the demand side of this because clearly, there are some sectors that are benefiting. And I think we're going to see, for example, the healthcare side will remain healthy. Our verticals on retail, for example, I think the consumer expenditure side with the expectation of the gas price decrease should look healthier for the remainder of the year. And one challenging part is clearly the export sector, but we will just have to see what the global macro environment does for that. So in general, there is no underlying expectation of an increase in utilization rates in our outlook.
Sameer Shripad Gokhale - Janney Montgomery Scott LLC: Okay. And then just, my last question was I think you have decided to exclude AOCI from your common equity Tier 1 capital ratio. I mean that's something we were expecting most banks to do anyway because it seems like that would limit volatility in that ratio. But aside from the effect of volatility, is there any other reason we should think of as far as your decision to exclude AOCI, or is it really just to limit the volatility potentially there?
James C. Leonard - Treasurer & Senior Vice President: Yeah. It's simply to limit the volatility in managing your capital base.
Sameer Shripad Gokhale - Janney Montgomery Scott LLC: Okay. Okay. That's all I had. Thank you.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thanks, Sameer.
James C. Leonard - Treasurer & Senior Vice President: Thank you.
Operator: Thank you. And our last question comes from the line of David Eads, UBS. Your line is open.
David Eads - UBS Securities LLC: Hi, guys. Thanks for taking the call. Just kind of following up on C&I loan outlook. I think a couple quarters when you guys had a little bit slower growth there, you pointed to basically originations being healthy but a little bit of a pickup in paydowns. And I'm curious what kind of dynamic you're seeing there, whether it's an increase in origination or kind of a slowing in paydown activity.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Oh, I mean I think paydowns are slowing down. We've seen the high water mark last year. Well, it's too early to say what happens the rest of this year. But so far, early in the year here, we've seen a drop in paydown activity.
David Eads - UBS Securities LLC: Okay. And then just kind of going to the strong investment advisory revenues, I know you guys talked about a little bit of a seasonal uptick there. When I look at recent years, there really hasn't been that much of a 2Q decline there. So I mean, I guess was there anything uniquely seasonal this year, or should we kind of think of this as a pretty good run rate going forward?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. I mean I think last year, we were flat. Some of it clearly has to do with where the market is, and we'll see what happens in Q2. But in general, it's probably better to do year-over-year growth comparisons. And for this year, we expect to grow our revenue line there. Quarter-to-quarter, we're a little bit hostage to what happens to the market. But we're seeing good asset inflows, which will support growth for the year.
David Eads - UBS Securities LLC: Sure. That's great. Well thanks so much.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thank you.
Kevin T. Kabat - Vice Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. And this concludes today's conference call. You may now disconnect.